Operator: Good day, ladies and gentlemen, and welcome to the ARC Document Solutions’ Third Quarter Earnings Report. Today’s conference is being recorded. And at this time, I would like to turn the floor over to Mr. David Stickney, Vice President of Investor Relations. Please go ahead.
David Stickney: Thank you, Greg, and welcome everyone. On the call with me today are Suri Suriyakumar, our Chairman, President and Chief Executive Officer; Dilo Wijesuriya, our Chief Operating Officer; and Jorge Avalos, our Chief Financial Officer. Our third quarter results for 2017 were publicized earlier today in a press release. The press release and other company materials are available from our Investor Relations pages on ARC Document Solutions website at ir.e-arc.com. Please note that today’s call will contain forward-looking statements that fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are only predictions based on information as of today, November 1, 2017 and actual results may differ materially as a result of risks and uncertainties that we highlight in our quarterly and annual SEC filings. This call will also contain references to certain non-GAAP measures, which are reconciled in today’s press release and in our Form 8-K filing. I will now turn the call over to our Chairman, President and CEO, Suri Suriyakumar. Suri?
Suri Suriyakumar: Thank you, David, and good afternoon, everyone. The third quarter affected us on a number of fronts this year. Lower sales and pressured margins obscured some of the progress we made but did not diminish its value. We continued to see smaller declines in construction printing volume while building back and protecting our print revenue. MPS sales also improved on the performance of Q2. And AIM sales, though small, were up more than 7% year-over-year. We also saw continuing progress in building our facilities management pipeline, and our potential customers are expressing significant interest in the new product. These were all good times. But, as I’ve said before, driving change is destructive and periods of lower performance must be expected. Overall, company sales were affected by three primary drivers. First, print sales, while moderating, continued to decline. Second, the hurricanes in late August and early September disrupted sales significantly in South Texas and most of Florida. Third, we just had one less business day in the quarter relative to last year. Margins were affected by lower sales, a difficult mix and high employee cost than usual. And ensuring the well being of our people during the storms added pressure to our bottom line. Combined, these issues caused us to issue the revision in our annual forecast, which we announced earlier today in our press release. We’re now forecasting adjusted earnings per share to be in the range of $0.12 to $0.15. Our cash flow from operations is expected to be the range of $45 million to $48 million, and EBITDA is forecasted to be in the range of $52 million to $56 million. Before I turn the call over to Dilo and Jorge to give some details behind the events of the quarter, I would like to comment on the circumstances around – surrounding the hurricanes. 10 of our service centers and more than 120 people were directly in the part of Hurricane Harvey. Seven more service centers and virtually all of our people in Florida evacuated in advance of Hurricane Irma’s land fall. While our service centers escaped significant damage, several of our employees lost their homeand everything in them. Nearly all of our people who evacuated, suffered losses of one kind or another and returned home to a very uncertain condition. In the face of these extraordinary circumstances, we elected to pay our affected employees during this time, even though our service centers were closed for several days. As I noted a moment ago, doing so had an impact on our margin. But given how well our people work together to prepare for the storms, the boost in morale we experienced from the shared purpose and how eagerly our people returned to their jobs, we clearly made the right decision. The energy and the persistence will be significant assets towards realizing our transformation in the coming quarter. At this point, I’ll ask Dilo to provide a brief operational summary, and then we’ll wrap up our formal remarks with a review of the finances with Jorge. Dilo?
Dilo Wijesuriya: Thank you, Suri. I’ll take a moment and walk through each of our business line. CDIM, as most of you know, is made of primarily construction printing and color imaging. Construction printing is there. We’ve seen continuing decline. But in Q2, we saw they moderate to less than 4% despite the weather disruption. Color sales lagged a bit during Q3, and some of that was undoubtedly due to the hurricane. We normally demonstrate strong sales in Houston and Florida, two of our largest color markets. While year-over-year performance in MPS improved in the third quarter, the anticipated earlier rollouts for new customers acquired in Q2. Instead, rollouts began late in the quarter as the details of each implementation were worked out. We expect to see some more acceleration in this activity in the early part of Q4. As a reminder, however, we will have fewer working days towards the end of the year due to the holidays and much will depend on customer schedule. The growth in AIM was small in dollars but our pipeline is growing. New opportunities are converting to projects that involve putting data into existing document management system as well as bringing data into our own platform. Our sales mix was affected by another high-volume quarter from China on equipment and supply sales. The lower margins on equipment added pressure to our bottom line. Sales were obviously affected in South Texas and Florida on the base of the hurricane themselves. We also felt the impact with slower sales than usual during the five days prior to the storm and a week after. I should note that we don’t expect business in these areas to accelerate to make up for the lost productivity. Instead, it is likely to pick up where it left off. Lower daily sales in these areas during early October will likely have an impact during the fourth quarter. With all this said, our employees are becoming to recover and focus on the building back the lost business. Morale is excellent and energy is high. We have ongoing marketing efforts to reach out to customer and prospects to communicate the value of our services and harvesting more warm leads is helping our outside sales team. I’ll now turn the call over to Jorge to run through the numbers in more detail. Jorge?
Jorge Avalos: Thanks, Dilo. Sales declined in the third quarter by $4 million or 4%. Roughly $2.5 million or 2.5% of the loss was due to the effects of the hurricanes and having won that business day in the period. Excluding these items, our sales declined in the third quarter was essentially flat to the second quarter. Gross margins of 30.3% for the quarter suffered from our inability to leverage our fixed cost and labor with the decline in sales. Additional pressure on our margins came from a difficult sales mix, higher-than-usual employee benefit cost and from paying our employees during the closures from the hurricane. By paying our employees during the closures, most of the impact of the lost sales fell directly to the bottom line. SG&A of $25.8 million was in line with Q2 and higher than last year, but well within our expectation as we continue to invest in our sales and marketing initiatives while managing administrative cost to offset them were prudent. Given our third quarter results and the implementation of new, simplified goodwill impairment guidance, we took a non-cash charge of $17.6 million associated with historical acquisition. While we have goodwill remaining on our books, we do not expect any further impairment charges in the future. Despite our challenges, ARC continued to generate very strong cash flow throughout the quarter. Cash flow from operations was $11.3 million in the period and $36.8 million year-to-date. On a year-to-date basis, operating cash flows increased by $2.7 million or 8%. We expect our strong cash flow performance to continue, assisted by the benefit of our low interest rate on our senior debt and the fact that we will not pay any meaningful taxes due to our historical net operating losses. We paid down an additional $5 million in principle on our Term A loan during the quarter, reducing our original principle by $70 million or 40% since its inception. The capital structure of the company remains an excellent condition. Our strategy to protect our historical print business and grow our technology offerings in support of our transformation remains in place. While some of the progress we made towards achieving those objectives was obscured by the events in third quarter, all of us are encouraged by the efforts in the field. The strength of the capital structure is clear. And our cash positions continue to support the changes we’re making throughout the company. At this point, I’ll turn the call back to Suri. Suri?
Suri Suriyakumar: Thank you, Jorge. Operator, at this time we are happy to take our listener’s questions.
Operator: All right. [Operator Instructions] And first from B. Riley we have Josh Nichols.
Josh Nichols: Yes, hi. Thanks for taking my question. I was going to ask – so you hit mile marker here with 10,000 MPS customers. That number keeps growing, but the revenue has continued to decline. I guess – could you help quantify a bit about what numbers we should be looking for and when you think the MPS business might transition back to revenue growth?
Suri Suriyakumar: Sure, sure. I mean what’s fundamentally happening is, the number of customers we acquired continue to grow, obviously. However, what’s happening is that the amount each of these customers print is what is shrinking, and that is due to obviously the use of technology and people moving away from paper, et cetera, et cetera, which is exactly what is affecting the print industry. So if at some stage we continue to acquire customers faster than the ocean, it’s an ongoing challenge, then at that stage we’ll be able to moderate it. And that’s one of our strategies is to continue to try to get more market share and in fact, get more MPS customers at the faster rate than the shrinkage itself. That’s exactly what we’re trying to do. At this point of time, as you see can see, from Q2 to Q3 the MPS performance has improved but in absolute dollars, obviously, it’s a bigger drop. But in year-over-year, you know our performance in Q3 is actually better than what we performed in Q2, am I right, Jorge?
Jorge Avalos: That’s correct. Year-over-year, we dropped 3% in the second quarter and we dropped 2% year-over-year in the third quarter. So as you could tell, we’re making our inroad getting that back to the positive.
Suri Suriyakumar: That’s exactly what I was saying in the call. It’s hard to see those numbers, given the macro conditions. But we are, at this stage, extremely excited about the fact that we are making progress inside the print segment. But obviously, it’s slow and there are going to be quarters like this where we are going to have a few bumps on the road.
Josh Nichols: Just, generally speaking, would you say – I mean, it looks like year-over-year growth was like 7% per customers in the MPS business? Do you think was that on the revenue could turn positive if you were able to start achieving, say, like 10% year-over-year customer growth in that business or – I’m just trying to quantify a little bit?
Jorge Avalos: Yes, you can’t look at it that simplistically because there might be an MPS account that brings in one machine and it’s, whatever, $500 a month or $300 a month. As we’ve said in the past, some of the bigger amino movers are the big, what we call, our Global Solutions’ customers, our enterprise customers there. We have one account that could at $2 million, $3 million. So you can’t look at it that simplistically. We hit this number then we hit growth. Obviously, the more accounts we add, the better position we are to be in a growth position.
Suri Suriyakumar: In the MPS space, Josh, we have customers who basically own couple of machines, single machines, two machines, three machines, which are actually the number of, what we call, FMC account or facilities management contract fleet count. And then there are some contracts, somebody could have 15 or 20 machines. And of course, the global contracts are much larger. They could have 500, 600, 800 machines. So like Jorge said, number of customers is not actually a proper measure, but it’s a question of how many machines are out there and how much print we are able to get. So it’s not a simplistic straight forward answer. But if we continue to keep using the benefit we have by have this – by having this national footprint then our ability to serve customers in multiple locations, we are using that to get larger customers, it’ll be helpful.
Josh Nichols: That’s helpful. Thank you, and I guess good to see. So we have some growth in the Digital Services business. It’s still a small percentage of revenue. What do you think it’s going to take to really get the growth in that business to where it should be? So that it could one day, hopefully, become a meaningful percentage of revenue?
Suri Suriyakumar: Sure. That’s exactly hitting our own transformation story. I mean – so given the fact that we aim the construction space, our technology tools we have developed in the solutions we have developed, we believe are very powerful, very useful. However, getting them out there in the market space, especially in the legacy space, like construction, where adoption is slow and such solutions are new solutions. So that’s disruptive, that’s exactly what we said in the prepared speeches. We said disruptive things and – then you introduce disruptive solutions out there. It takes a while to take traction. What’s interesting, Josh, or what’s exciting for us is that there is a lot of excitement from customers about the solutions we talk about, especially on the facility management side. What it can do. How easy it is to access the information? How easy it is – is it for you to search the information you have on, so on and so forth? So of course, we should translate into numbers and that’s what we have always said. It takes a while for these solutions to get traction. But once they get traction because our shrinkage in print is not that huge, very quickly, we’ll be able to offset it. But it’s just a question of how we – how fast we can break into those technology sales, which is what we are laying the groundwork for and working towards.
Josh Nichols: And then last question for me, and then I’ll pass it on. I know there was a couple items weighing on margins for Q3. But it seems like some of the stuff, like hurricane impact also carried over to early Q4. Do you expect margins for the company to be relatively comparable quarter-over-quarter for Q4?
Suri Suriyakumar: I would think so. Largely, I think it’s going to be comparable. I mean, I think some of that effect will go through. But we feel like, based on our – the revised guidance, you can see, we can expect Q4 to be pretty much in line with Q3. Wouldn’t you say this, Jorge?
Jorge Avalos: Yes. I definitely agree with that. In essence, we already kind of took the drop. We typically take from third quarter to fourth quarter. So, to answer the question, just repeat what Suri said, we expect the fourth quarter from a margin perspective, from a top line perspective to be in line with what we saw in the third quarter, in absolute dollars.
Josh Nichols: Sounds good, thank you.
Suri Suriyakumar: All right, you’re welcome.
Operator: [Operator Instructions] And it looks like we have no further questions from the audience at this time. I’ll turn the floor back to management for any additional or closing remarks.
David Stickney: Ladies and gentlemen, thanks very much for your attention this evening. Thanks very much. We look forward to talking with you in February on our Q4 and fiscal year end results call. Take care. Good night.
Operator: Ladies and gentlemen, that does conclude today’s conference. We appreciate your participation. You may now disconnect.